Operator: Good afternoon, ladies and gentlemen. At this time, I would like to welcome everyone to Marfrig’s Global Foods S.A. Conference Call to present and discuss its results for the Fourth Quarter and Full Year of 2016. The audio for this conference is being broadcast simultaneously through the internet in the website, www.marfrig.com.br/ir. In that address, you can also find a slideshow presentation available for download. We inform that all participants will only be able to listen to the conference call during the company’s presentation. After the company’s remarks are over, there will be a Q&A session. At that time, further instructions will be given. [Operator Instructions] Before proceeding, let me mention that forward-looking statements are being made under the Safe Harbor of the Securities Litigation Reform Act of 1996. Forward-looking statements are based on the beliefs and assumptions of Marfrig’s management, and on information currently available to the company. Forward-looking statements are not guarantees of performance. They involve risks, uncertainties, and assumptions, because they relate to future events and therefore depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions and other operating factors could also affect the future results of Marfrig, and could cause results to differ materially from those expressed in such forward-looking statements. Now, I’ll turn the conference over to Mr. Marcos Molina, Marfrig’s Global Foods Chairman. Please Mr. Molina, you may now begin the conference, sir.
Marcos Molina: Across the globe its portfolio of diversification with high volume processed products and also therefore and the commitment of all the employees at all the levels of the organization. Now, I will pass the call over to Eduardo, who will begin the presentation on the result of the quarter.
Eduardo Miron: Thank you, Marcos. Let's go to slide three, where I'll begin the presentation on the fourth quarter, starting with net revenue. As you can see in this chart, on the last monthly posted net revenue of R$5 billion in the quarter, down 6% year-over-year. The main driver were the 14.3% of depreciation of the Brazil real against US dollar, the lower average sales volume in beef division inline with the industry trend and lower average price in Keystone division due to lower international commodity price. Partially offset by a 17% growth in sales volume in Keystone division. Keystone and international beef operations accounted for 60% of the total revenue in this quarter, inline with the profile in the fourth quarter of 2015. Regarding our currency exposure, note that in the fourth quarter 76% of the revenue was in currencies other than the Brazilian real versus 81% in the fourth quarter 2015. Let's now turn to slide four. On slide four I will comment on Marfrig consolidate gross income and adjusted EBITDA. On chart on the right, gross margin stood at 10.6% in the quarter with gross income of R$530 million, down 23% on the fourth quarter of 2015. The main factors contributing to this performance were the 14.3% depreciation of the US dollar against the Brazilian real and the lower sales volume and margin compression in this division which followed the industry trend. Being these two factors partially offset by the continued solid performance in Keystone division. Note that in comparison with the third quarter of 2016 gross income grew by 8.9% which is inline with our expectation of generating stronger results in the last quarter of the year. Adjusted EBITDA in the fourth quarter was R$394 million, with margin of 7.9%, down 24% on same quarter of 2015 and following the decline in gross income. In comparison with the third quarter however, adjusted EBITDA grew by 60%, the results reflected a better margin at Keystone and the improvements in sales and administrative areas in this division. Lastly, the chart on the lower right provides a breakdown of EBITDA in the quarter by division, with Keystone contributing 65% or 10 percentage points above the same quarter of 2015. Let's go to the next slide. Turning to the slide five, you can see the net income in the quarter and fiscal year considering only the continuing operation, in other words, excluding the known recurring gains from the asset divested. In the quarter Marfrig posted a net loss of R$241 million, reflecting to weaker operating income as explained further. In the year, Marfrig posted a net loss of R$726 million, which represent an improvement of R$700 million or 0.9% from the net loss of R$1.4 billion in 2015. We continued falling results of Keystone and mismanagement action focused on reducing that cost contributed to this performance. Now I will pass the call over to Frank Ravndal
Frank Ravndal: Thanks, Eduardo. Good morning, everyone. As expected the fourth quarter was another strong quarter for Keystone. Before going through they results detailed on the slide, I wanted to outline the four main contributors to the strong quarterly performance. First, the fourth quarter saw strong year-over-year volume growth across the entire Keystone enterprise. Our US key accounts business was a big reason for the success. As I mentioned before, Keystone is strategically committed to continue growing our sales at value added products to our key accounts and that strategy continues to produce results. As a percentage of total sales, our fourth quarter sales to key accounts increased from 29% to 31%, driven by significant new product introductions and by adding new customers. During 2016, 52 new products were commercialized and 10 new customers were added in the US alone. This he steady growth reflects our commitment to be the preferred value-added supplier to the worlds best consumer brands, by creating high quality food products with our proved commitment to food safety. Our APMEA business was the other key reason for the fourth quarter volume growth, led by our operations in Australia and Malaysia. Those operations continue to grow the exports to Asian and the Middle East markets and also grow in their domestic market. The second theme for the fourth quarter was our changing product mix, as we continue to support our customers efforts to meet evolving consumer preferences, in particular, our expansion No Antibiotic Ever products and similar delivered a solid contribution to both product demand and margin. Third, we saw increased demand in pricing for poultry exports from the US and international markets, as export bands from the prior year continue to roll off. This development increased demand for let quarters resulting in greater than 40% increase in prices. In fact, you may recall that in the fourth quarter of 2015, we actually decided to hold inventory leg quarters to the declining prices. That action also contributed to the volume and revenue growth year-over-year. The fourth and final theme for the quarter was a beneficial market – the commodities we buy. In particular, feed prices were down 6.9% year-over-year. Now let's turn to the slide and review our fourth quarter results in more detail. As a reminder, we present all Keystone financial data in US dollars. Let's start with the net revenue, which appears in the graph on the lower left of the slide. Fourth quarter net revenue was up 12% compared to the fourth quarter of 2015. Again, one of the keys here was the double-digit volume growth across the whole company driven by our expansion in APMEA and our continued success in US key accounts, including our new No Antibiotic Ever product. The increased global demand for and price of leg quarters was also a revenue driver. Moving up the slide, fourth quarter volume increased 17% year-over-year. The drivers to the nice volume increase are the same that impacted revenue. In terms of EBITDA and EBITDA margin for the fourth quarter, we generated adjusted EBITDA of $66 million, up from $61 million, an increase of 8.6% year-over-year. Keystone has now maintained a EBITDA margin above 9% for five consecutive quarters. To conclude, the fourth quarter was a great one for Keystone, driven by strong volume growth across the business, contribution from No Antibiotic Ever products, the recovery of leg quarter exports and a favorable commodity market for feed inputs. This great fourth quarter concluded an outstanding year for Keystone. I'd like to now pass the call to Andrew Murchie, CEO, beef Brazil, who will present the results of the overall Marfrig beef business.
Andrew Murchie: Thank you, Frank. And good morning, everyone. Now on slide seven, I will comment on the results of the beef division, which is formed by the Brazilian beef operation and the international beef operations. The fourth quarter reflected the still challenging scenario in the Brazilian operation. Given the limited supply of feed cattle, on the reserve filling the recovery in international prices. Compared to the fourth quarter of 2015, our export spread which is the difference between our sales price and our capital cost in both the Brazilian and Uruguayan operation narrowed in the period by 24% and 10% respectively. As you can see in the chart on the top left, net revenue was R$2.7 billion, down 8% from the prior year quarter. The main reason for the lower revenue where the Brazilian real appreciation in 14% on the lower sales volume, which were partially offset by the better performance in the domestic market where prices increased by approximately 7%. Sales volumes as you can see in the chart on the lower left, fell by 11,000 tons compared to the fourth quarters of 2015, which is explained by the lower slaughter volume due to the capital cycle and by the priority given to high margin channels in the domestic market, where the food service channel grew by 18%, as well as in the export market where Asia accounted for 38% of the export volume in the quarter, increasing its shares by 1000 basis points. I want to take this opportunity to mention that our exports volume in the last quarter, also the strong growth of nearly 50% on the previous quarter, reflecting the strategy mentioning in our last call of retaining over to a portion of exports to capture a high average sales price. On the chart on the top right, you can see the adjusted EBITDA of the beef division, which was R$177 million in the quarter, with margin of 6.6% which represent a sharp reduction from the same quarter of 2015. This was due to a sharp drop on the export spreads, which declined of 24% in Brazil and 10% in Uruguay, also the 14% appreciation in the local currency and the lower sales volume. With these factors it’s partially offset by the recovering in prices in the domestic market and also the lower expenses in the sales and administrative due to streamlining. Compared to the third quarter however, EBITDA improved by some R$14 million. The increase is explained by the sales volume growth by the lower SG&A expenses that I mentioned earlier. In the case of EBITDA margin the reduction between quarters is explained by the lower slaughter volume and consequent lower dilution of fixed costs. Before moving on to the next slide, I will pass the call back over to Eduardo Miron.
Eduardo Miron: Thank you, Andrew. So moving to slide eight, it shows Marfrig liquidity and debt maturity schedule. As you can see the chart, on the lower right, net debt in US dollar which is our main metric remain stable at $1.8 billion, reflecting the stability achieved in our cash flow. In Brazil gross net debt stood at R$5.9 billion also is stable. As you can see in the chart, Marfrig brought back end of the fourth quarter at R$11.2 billion, declining around 4% from the end of the third quarter. In US dollar gross debt ended up $3.4 billion, down 5% explained by the payment of $121 million of the outstanding balance of the 2016 bonds which came due in November. With that the balance of cash and cash equivalents declined in the same proportion to $1.6 billion or R$5.3 billion. I'd like to pull your attention that we also had in of this year repayment of the last installment of the mandatory and convertible debenture in the amount of R$327 million. Delivery ratio measured by net debt to adjusted EBITDA in the last 12 months ended the quarter at 3.7 tons, which represents an increased of 0.3 tons from the ratio of 3.4 times at the end of the third quarter, reflecting the lower 2016 EBITDA as mentioned earlier. As I highlight for the year, is liability management which led average debt cost of 10.3% per annum, down 6 basis points from the end of 2016. lastly, I'd like to take this opportunity to comment that in January after the conversion of the debentures Moody's of the data is tried to report, which reaffirmed our rating and upgraded our outlook from stable to profit. Let's now move the next slide. On slide nine, I am going to comment on cash flow in the fourth quarter of the year. Operating cash flow before interest and CapEx was in the quarter came to R$528 million, which was positively influenced by the continued solid operating results at Keystone and the improvement in working capital in the period, driven basically by the reduction of inventories and distribution. On CapEx we maintained our investments in both maintenance and improving existing operation, such as the organic growth project at Keystone. Note that this figure of R$182 million was the highest in a single quarter this year. We always like emphasize this when commenting on cash flow, because we have a long-term commitment and we have maintained our investment despite our rigorous financial discipline and low to of deliver part of the cash flow. Interest expenses came to came to R$282 million or 4% lower than in the prior quarter, due to the decline in gross debt that I had mentioned. Free cash flow in the quarter was positive at R$68million. I will now pass the call over to Marcos for his final comment and closing remarks.
Marcos Molina: Thank you, Miron. I will ask you to share the page number 10 and number 11. I will comment our key financial metrics and our guidance of 2016. Net revenue in the year was $19 billion, particularly in line with 2915 and in line with our guidance. The performance of this division influenced by the negative moment in Brazil capital cycle and the lower average sales price in Keystone division due to the lower grain and the fresh prices were the main factors that eventually affected our sales which were offset by 5% growth in sales and volume in Keystone division and the average depreciation in Brazilian real against the US dollar of 4.8%. In the year EBITDA came to $1.6 billion with adjusted EBITDA margin of 8.2, slightly below our guidance. The lowest result of this division was partially offset by essential result of Keystone. Our CapEx in the year was $526 million, also within the guidance range. The results reference our commitment to maintain our investment to support growth in our different regions. Free cash flow was $39 million, which is within our range to zero to $100 million. The result is explained by the solid performer of Keystone and our liability management and just – and the opportunity to optimize our working capital. Marfrig for the four straight years was able to generate positive cash flow and support our initiative to grow in the caps. The result reference our continuous commitment to breakeven value without foregoing our investment and improvement and in organic expansion project to ensure that growth and the perpetuity on both of our business. 2016 as Martin mentioned was a consolidation of Marfrig Global Foods and its operation, which today where represented by Keystone on this division. The current environment in Brazilian capital cycle and the stronger Brazilian real that initially affected their result of this division. This adverse scenario was virtually obsessed by the operation flexibility on the beef division. Meanwhile, Keystone division continue to deliver a solid performance. The ongoing and stable strategy to deliver, to diversification is claimed by base, combined with a virtual sales mix, with an important contribution coming from No Antibiotic Ever products, lead the subsidiary to both regularly build out $252 million in the year. In keeping with this commitment to the financial discipline, Marfrig continue to execute its liability management process with focus or resolution to this cost and lengthening of their debt term, while maintaining an important liquidity position to convert the still volatile scenario in Brazil. And the commitment to delivery positive free cash flow was met, as that government are very important target of the company. I also want to comment on the important line that we have reached now in January that has yet to reflect in the company results which was recurring during 2016. As Marcos mentioned Martin mentioned this conversion brings important saving in our annual interest payment of around $300 million and we'll make a material contribution on our free cash flow. Before turning today's presentation, I want to comment on the outlook for the coming quarters. As you all know, with the reporting of January results, Marfrig typically announced its guidance for the current year for the key financial indicators. However, Marfrig now is starting on a new phase of this evaluation. We are diligently working in strategic plan, for the next five years our 2021 vision. The focus will be on building a solid foundation, identify our competitive advantage and potential opportunity. So we can assure the perpetuity of our business and continue to make Marfrig a more solid and profitable company. And since we are still in the end of this process to formulate this vision, we have decided not announce our guidance on this time. This is our position that maybe you can see that several time. But as we believe it’s pertinent in this moment. Given that the strategic plan for the coming years, this is still in the finalization process and it will pertain in the short term. Last but totally not least, I want to emphasize what does not change in the phrase of our firm dedication to the financial discipline. We conclude now with our presentation and we are open to start the question-and-answer session.
Operator: Thank you. [Operator Instructions] Our first question comes from Isabella Simonato with Bank of America Merrill Lynch.
Isabella Simonato: Good morning, everyone. Thank you for the call. I have two questions, first on the beef operation. If you could provide in a quality basis, qualitative basis what are you seeing in terms of margins for the sector in 2017 considering that cattle prices started to decline, but at the same time the BRL appreciated? So what's your view on margins for the sector in 2017? And also, the second question on Keystone. I think top line growth was really strong in the fourth quarter ending 2016. Considering the new capacity that you are also investing, what sort of growth can we expect for Keystone in 2017? Thank you.
Eduardo Miron: Thanks for the question. Regarding the first question, we are optimist for the year 2017. As you know is very difficult to predict the result of the beginning of the year. There are some topics that help us to be optimist. Regarding the – which are these topic, we are beginning the – at the beginning of the year have a very good offer of cattle and in the first year in the last three years that the price of the cattle is reducing during this part of the year, that most of the time disappear at the second semester of the year. The other thing is important for us is a relation between the cost of the grain and the cost of the arroba or the kilo of the animal for the farmers, that is in a very good scenario of the second semester of the year, that’s a – will be very important for the feed lot animals that is very important source in the second semester. Regarding the exchange rate is another challenge for the company, it’s very difficult to predict, but we are very confident, that with a market as we opened last year like China and US, we will have a very good balance between export and internal market, as you know, Marfrig is very strong in the last year. Regarding the second question, I will ask Frank to answer to you.
Frank Ravndal: Thanks. And thank you, Isabella for the question. As Martin mentioned earlier, we are going to be providing guidance for 2017, specifically, but what I can tell you is that with respect to formulating that longer-term strategy, Keystone has actually concluded the work over the last couple of months, and in looking to do through a really deep dive process, and so that five your growth strategy I think really shows exciting, continued, longer-term opportunities for Keystone to continue to grow in the existing strongest channels over the last two years, as well as building out more recent successes in newer channels, like more SKUs in the higher end, retail, private label, convenience, et cetera. So you know, without focusing on 2017, you know volume specifically I think, we really feel good after that work that when we look back now on an excellent sort of consistent builds on both volume and EBITDA growth over the past four years, you know, we feel great about what the 10 yea picture will look like when we look back in 2022 on it. So you guys read that 2016 was very nice, kind of volume growth across the year and feel really good about the longer term prospects and say that, like you say we have some a new plant that will be commissioned mid year, probably a little bit later than mid year. But we'll have some other investments we'll have to make to fuel the rest of the growth, but the underlying market opportunity looks was very, very exciting for us.
Isabella Simonato: Thank you.
Operator: The next question comes from Alex Robarts with Citigroup. Mr. Robert, your line is open.
Operator: The next question comes from Alessandro Alerang with Bank of America Merrill Lynch.
Alessandro Alerang: Hello. Good afternoon, gentlemen. The first question would be potential for additional liability management. When we look at the dollar bonds of Marfrig, there is the opportunity to make or to exercise a call particularly on the 2020 dollar bonds. We're talking about almost $500 million now in March. And then you would have the opportunity to do another call on the 2019 bonds of almost $700 million in June 2017. When I look at your cash balance, you have approximately $1.5 billion, $1.6 billion in cash and given that these are still expensive debts that you have and that the performance of the dollar bonds have been quite strong with the improvement on the operations of the company, what could we expect in terms of activity on this front this year for you? Thank you.
Eduardo Miron: Hi, Alessandro. This is Eduardo Miron. Thanks for your question. As you know the liability management program is an ongoing process, that we keep our eyes very close to any opportunity to meet the two main objectives which is the reduce the cost and expense term. At same time, we had to take into consideration the overall scenario of the different market that we play and the risks that we had to address/. So we said that we have a strong cash position, it is in some way, you know, the reflection obviously is overall situation which has been quite challenging over the years. So having said that, we don’t necessarily discuss our outlook, specific to time and liability management, but we will keep our eyes and if the window is open we will act.
Alessandro Alerang: Okay, let me try to ask then in another way. Given the $1.5 billion, $1.6 billion cash position that you have and the fact that the short term debt for the company is only 15% of total debt, which is really good, right, that means you pushed out a lot of the maturities already for more than a couple of years down the road -- from a financial policy perspective, what would be the optimal cash balance for the company?
Eduardo Miron: Alessandro, again, thanks a lot for your question, recognition of our good work on the liability management. The cash is – size is definition that is taken by the boar of the company. So it’s taken not lightly and we all understand the carry cost and we all understand the details around this. At the same time, we have a very you know, conservative and approach given the scenario that we evaluate, so there is evaluation of the scenario and we feel that because level is okay, although we as you see, we are using this cash to liquidate debt that are maturing.
Alessandro Alerang: Okay, thank you, Eduardo. And then just one last question on Keystone. I noticed that the Company engaged in securitizing accounts receivable in last December. And is it reasonable to say that the working capital line in the fourth quarter of last year was positively impacted by the securitization of receivables? And the amount that I see here is around R$174 million. If you could just confirm that, that would be great. Thank you.
Eduardo Miron: Yes, I don’t want to go into specific details, but I can assure you that we are – we work very diligently in improving our working capital and as part of this we had different operations in different countries and different regions where we try to bring liquidity to our cash flow.
Alessandro Alerang: Okay. Thank you so much.
Eduardo Miron: No problem.
Operator: The next question comes from Ian Luketic with JPMorgan.
Ian Luketic: Hello. Thanks for taking my question. A quick question here. Can you help us understand when we can expect a reduction in financial expenses and how the Company plans to reach this reduction? Thank you.
Eduardo Miron: Ian, I am sorry, I could not follow your question. Could you repeat that?
Ian Luketic: Yes, of course. I was just wondering if you can help us understand when we can expect the company to reduce its financial expenses and how the company plans to do that?
Eduardo Miron: Well, I mean, in fact, I mean we are reducing, right. So if you see the comparison a lot of that expenses from last quarter to this quarter there is a reduction, I think we have already mentioned that given the liability management we were expecting something – around $10 billion of savings with the previous liability management exercise. We just mentioned about the $300 million you know reduction of expense that will occur given the conversion. You know, as long as we sit here, particularly we will bring lower interest debt to our company and with that we believe that the trend of reducing debt interest is just there.
Ian Luketic: Okay, thank you.
Eduardo Miron: No problem.
Operator: Our next question comes from Thiago Duarte with BTG Pactual.
Thiago Duarte: Good afternoon, everyone. Thanks for taking my question. Two quick questions actually. First, I understand you're not providing a guidance, but I think it would be interesting to hear what you are projecting in terms of CapEx for the year. I understand you have a new plant and there's a cost restructuring for Keystone. On the other side, you had the CapEx for 2016 coming at the higher end of your guidance. So it will be interesting to hear what your guidance range is or some kind of expectations for CapEx for the year? And the second question is related to financial expenses. There is one line within the financial results actually that's been pretty tricky for us to track and to forecast going forward, which is related to this other revenues and of course the bank fees, commissions, finance and other expenses. So I don't know if you have a sense or any level that you expect this line to come in 2017 and forward in your financial results. Any help with that would be great. Thank you.
Eduardo Miron: Thank you, Thiago for the question. We are not providing guidance in any of our financial topics. But as you know, there are some important things that are not changing in Marfrig. And one of them is our CapEx policy. It's very important for us to continue in the same way that we use to have in the last three, four years. But important amount of CapEx regarding our future, regarding our developed new products, regarding new factories and regarding our expansion mainly in Asia. So that we are not going to share any amounts, but we'll be operating for some types of our strategy for the future.
Marcos Molina: Thiago, if you want I can address the second part, if you are okay with the first part of your question? Okay…
Thiago Duarte: Oh, the second part of the - yeah. Yes, it's regarding the other line within the financial results. Yes.
Marcos Molina: I got it. So Thiago, as you can you know, identify and you can see in the financial, so this line is trending upwards, so we have – it’s been reduced, we don’t expect any major movement in this specific line. This line – and we can take this upside, so we have already provided the data around this and components of this account. But just giving a little bit of your perspective, so this line is as any other expense line, it should be trending down.
Thiago Duarte: Okay, thanks.
Operator: Our next question comes from Alex Robarts with Citigroup.
Alex Robarts: Yes. Hi, everybody. Thank you. Two questions really from my side. I wanted to first ask about Keystone in terms of the operating [ph], but also on some of the - the capital market transactions that might be around that business. 2016, it seems a record margin for Keystone. I think there were clearly some execution factors, but also some favorable macro factors. And I guess as we think about 2017, I appreciate you can't give - that you have decided not to give guidance in. But as we think through some of the commodity and other macro factors, is it safe to assume that perhaps the commodity tailwinds might be a little bit less I mean clearer or present in the business? In other words, how are you seeing the commodity cost outlook for you guys in the next, I'd say, couple of quarters? And related to that, how are you seeing the trends in quick serve restaurants, the foot traffic there? Is that channel, do you think, able or kind of holding up in terms of recovery, which we've been noting in other types of information sources? So commodity, quick serve restaurant trends, if you could comment a little bit about that as you're looking to Keystone USA, right, in the first half of the year? And the second Keystone question relates to, how are you really thinking about capital market transactions around this business? And you've announced the strategic possibility of looking into joint venture, IPO. Could you give us kind of an update on your thinking regarding that for the first half or for 2017? Thanks very much.
Marcos Molina: Okay. Go ahead Frank.
Frank Ravndal: Yes, I think – let me take those in the order you put them out Alex. So I think from a kind of the macro and favorable macros on some of the commodity inputs, kind of broadly over last couple years, I think that the outlook we have right now is for not dramatic changes to that environment. So I mean, recently, there's been a decent rally over the last six weeks or so, then its cooled off you know, somewhat more recently in the last week. But we believe that recent corn and soy meal price, up-trends have been influenced largely by non-fundamental sort of money flows into the market and renewed interest in the broader commodity complex. There is also a strong real that I think impacted it, record Chinese soybean demand. But US and world inventories remaining really well above year ago levels, South American supply looks really good and you put that in the context of potentially record US being acres that was just updated yesterday by the USDA, comfortable corn acreage estimate. So we anticipate evaluations in both corn and meal could take on should take on a more bearish tone over the next six months. You know, severe weather issue that deteriorates yield could you know, remains the top risk to that outlook, as is always the case. But I mean, how we see those markets developing doesn't look like anything significantly off of the environment we saw 2016 from those inputs. On some of the meat input prices, it’s really too vary to talk about, the recent one overall trend it depends, as you know, we're not a hundred percent vertically integrated in the US, so we're on the market from time to time. So often depending on what parts we're looking to purchase. Softness in the market can actually help us, even though it might hurt us on the revenue line. So those trade-offs are little bit more complicated than a short answer about, kind of just overall meat market inputs and then of course we have exposure to meet raw material purchases outside of the US as we are vertically integrated and so we've managed those margins a very well over the last few years. So I think you know relative to those macro trends we don’t really see anything out there right now on the horizon that looks very troublesome relative to 2016 actuals. I think the QSR trend you talked about, I mean, that sort of been challenging for the last couple years and we've managed to continue to grow significantly within that not great macro environment. When I listen to what many of the top operators talk about in their recent quarterlies and their outlooks for the year, you know there have been more recent kind of up-ticks in favorable comp sales, a lot of people were focused on the guest count, its behind that and then you still see little bit of a mixed bag. So I think that when you look at the strategies that several of those operators have to continue to drive guest counts into their business, we feel pretty good about where some of those operators are looking to take their business and the strategies that are driving that. So you know, we don't see, kind of you know dramatic changes there either. On the - on the last piece, I would say that that's just not something that we're prepared, you know, as Marfrig overall to comment relative to plans, capital markets plans or options with respect to Keystone at this time.
Alex Robarts: Sure. Okay. No, fair enough. And thanks for the comments on the trends.
Frank Ravndal: Thank you.
Operator: This concludes today's question-and-answer session. I'd like to invite Mr. Martin Secco to proceed with his closing statement. Please go ahead.
Martin Secco: Thank you. I will like to thank you again for joining us in this new call of Marfrig. We'll be more than open to continue in contact with you through our IR department. Thank you.
Operator: Thank you. That does conclude our Marfrig conference call for today. Thank you very much for your participation. And have a nice weekend.